Operator: Welcome to the ICF International Third Quarter 2015 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards you will be invited to participate in a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on Thursday, October 29, 2015, and cannot be reproduced or rebroadcast without permission from the company. And now, I would like to turn the program over to Lynn Morgan of MBS Value Partners. Please go ahead.
Lynn Morgan: Thank you, operator. Good afternoon, everyone, and thank you for joining us to review ICF's third quarter performance. With us today from ICF International are Sudhakar Kesavan, Chairman and CEO; John Wasson, President and COO; and James Morgan, CFO. During this conference call, we will make forward-looking statements to assist you in understanding ICF management's expectations about our future performance. These statements are subject to a number of risks that could cause actual events and results to differ materially and I refer you to our October 29, 2015, press release and our SEC filings for discussions of those risks. In addition, our statements during this call are based on our views as of today. We anticipate that future developments will cause our views to change. Please consider the information presented in that light. We may at some point elect to update the forward-looking statements made today, but specifically disclaim any obligation to do so. I will now turn the call over to ICF's CEO, Sudhakar Kesavan, to discuss third quarter 2015 performance. Sudhakar?
Sudhakar Kesavan: Thank you, Lynn, and thank you all for joining us to review third quarter results and discuss our business outlook. We executed well in the third quarter reporting a 25% increase in EBITDA, a 130 basis point expansion in EBITDA margin and year-to-date operating cash flow that was more than twice the amount we reported last year at this time. This performance at the stage for significantly improved profitability in the second half of this year compared to the first half and both our expectations for EBITDA margins in the range of 10% to 10.5% in 2016. In the third quarter total revenues increased 9% and service revenues were up 13%. We estimate that on a constant currency basis, this equivalent of gross revenue growth of 11% and service revenue growth of 15%. On a sequential basis, we did not experience a seasonal pickup in revenues that is typical for the third quarter. This was primarily due to lower subcontracted revenues [indiscernible] to our international government business. However, we expect fourth quarter revenues to be similar to the third quarter rather than the traditional sequential decline that we have experienced in the past years. Our commercial business continue to be a key driver of revenue growth. Domestic commercial which accounted for about 90% on total commercial revenues grew 40% year-on-year. A key part of our commercial business of ICF Olson, the new name for our digital services group. It is comprised of ICF's legacy commercial and state local digital services businesses and the open acquisition. ICF Olson's profitability levels remain strong in the third quarter and except for brand, as revenues grew at a mid-single digit rate both year-on-year and sequentially. When the Brand issues that we discussed last quarter effect of ICF Olson's third quarter, by the end of the third quarter there were several indications that Brand revenues have stabilized and you will see a rebound in both brand and ICF Olson's revenue starting in 2016. The first indication that supports this expectation is that win record. In the third quarter, ICF Olson added 30 new accounts across the broad range of industries including energy, healthy, technology, retail, financial services and the dollar value contracts won increased sequentially by 16%, the reflect in collaboration of creative strength of Olson with ICF's existing technology implementation capability. Second, is the [indiscernible] of legacy ICF and Olson's combined offerings which is an important competitive differentiator. We saw the soft hand with a large third quarter win of the California lottery account which we had just won at the time of our second quarter conference call. As an initial contract value of $13.5 million for five years and renewal options that can bring the total value to over $20 million, driven by far the largest contract that Olson has bid on. It is a great example that technology has been envisioned and we've made the Olson acquisition combining Olson's client relationships and industry experience, in this case working with lotteries with ICF's legacy technology implementation experience and broader geographic reach. We have a team within ICF Olson that is exploring the additional opportunities to leverage these vertical industry capabilities. Other collaborations are taking place involve half a dozen clients of either ICF or Olson that we currently have bidding on complimentary services. In fact, we're just informed that we won one of these bench to bring Olson's loyalty platform into a technology implementation project. Third, customer engagement is a key area where you'll see substantial revenue synergy opportunities. In addition, the cross sell when I just mentioned, ICF Olson added contracts with two international hotels to support their loyalty program, and we expect to rule out loyalty platform offering to other traditional ICF clients. All this has resulted in a significant pickup in ICF Olson's huge business pipeline over the past few months, both in terms of number and dollar value of these opportunities. The other major component of our commercial business is energy markets, which is also increased its pipeline, which John Wasson will discuss in more detail a little later. From a strategic perspective, a key point to note is that our federal government business return to positive growth in the third quarter of around 1%, although modest, this growth represents a 4% positive swing compared to the federal government revenue trends we experienced in last year's third quarter. And this was our best quarterly federal revenue comparison in more than three years. The third quarter we won contracts across more than 20 [indiscernible] and once again our domain expertise in energy and healthy broadly defined as well as our technology services qualifications were critical to winning this business. I also think it's important to note that we are seeing more digital opportunities in our federal government business and as you know, we expect this trend to continue. John Wasson will review some of our larger federal digital wins as part of his discussion. The year-to-date performance of our state to local business is about even with where it was last year, it's declined in the third quarter later the anticipated fall off in super storm Sandy work. We reported revenues from international government business continues to be reduced by the strengthening of the U.S. dollar. We achieved revenue growth of approximately 11% on a constant currency basis in the third quarter, even with a continued delay in certain projects for the European union. On a reported basis, that translated into a revenue decline of 5%. Summing up, the third quarter was a period of substantial progress for ICF across key profitability metrics including EBITDA margin, operating margin and non-GAAP diluted earnings per share. This performance along with recent contract wins underpins our expectations for our a strong second half. We also have position for growth in 2016 and to be able achieve EBITDA margin at a 10% to 10.5% range and to continue to general substantial operating cash flow. I would now like to turn the call over to John Wasson, our President and Chief Operating Officer to provide additional insights into our third quarter business trend. John?
John Wasson: Thank you, Sudhakar and good afternoon. As we expected, the revenue run rate we had at the end of second quarter combined with the strength of our contract award activity enabled us to significantly increase utilization rates across the company in the third quarter. And I am pleased to report that after the strongest second quarter sales on our history, we had another strong quarter for contract awards, bringing the year-to-date value of contracts won to $1.1 billion, an increase of 6.3% from last year's levels. In the third quarter alone, we succeed in line more than 700 commercial projects, over 100 U.S. federal government contracts in past quarters and hundreds of additional contracts from state and local and international governments. Looking at third quarter business mix by market, revenue from our commercial clients increased 35% to $101.9 million and represented 35% of total revenue. Significantly ahead, the 28% is accounted for last year's third quarter. ICF Olson and our energy markets put together accounted for 74% of third quarter commercial revenue. However, based on a current system for classifying revenue for market, not all of ICF Olson's revenues are accounted in commercial. Even though the pricing to the work is consistent with commercial work. Sudhakar focused his remarks on ICF Olson, so I will give you an update on our second largest contributor to commercial revenue in Q3, Commercial Energy. Our energy group performed as expected in the third quarter. Revenues increased sequentially but were flat on a year-over-year basis, accounting for 32% of third quarter commercial revenues. We have close to $200 million in proposals that have been working on to assist utility clients on demand side, management issues, including significant energy efficiency implementation projects. Another major area of interest for our utility clients has had a most effectively integrate renewable into the grid. This is a key issue for utilities, as renewables provide potential alternative to major infrastructure upgrade expenditures. Our work involves helping our utility clients determine their best options for integrating renewables. The impact on their business models, their alternatives for storage technologies and for distributed energy resources. Also in the third quarter, we found uptick in advisory assignments with utility clients related to EPA's Clean Power Plan. We have eveners to discuss the major implications of the plan and over 1,000 representatives of utilities and related industries participated. The initial advisory engagements we've gone so far small in size is a larger implementation type projects more likely to materialize over the next several years, which could provide us with a steady pipeline of new engagements over the medium term. The key energy group contract we won this quarter was a $10 million with a major city in the Northeast where we'll be providing technical services to support an energy efficiency and water conservation program. Turning now to our federal business, we were pleased to see our revenues in this market to a positive year-on-year comparison in the third quarter. Federal revenues were up slightly to $141.4 million, accounted for 49% of total revenue compared to 53% one year ago. This also was the strong quarter for federal government sales which reached $318 million, representing a book-to-bill of 2.25. Year-to-date, our total federal contract awards are at $634 million and represent a book-to-bill of 1.56. We had a large number of significant federal wins this quarter that have laid the foundation for growth in 2016. And as Sudhakar mentioned, a number of them included providing digital supporting services. Some highlights from our larger contracts this quarter include 10 contract wins for at least $2 million each with a centers for disease contract, supporting a broad range of clients and initiatives. The largest win was a $250 million Flexible Ordering Agreement to provide support around all of their digital tools, presence and systems. Specifically we will be helping CDC to reach the right audience with the right message utilizing the appropriate channel. This includes designing, building and managing content making all digital communication channels interactive and adapting CDC's current infrastructure towards a mobile communications environment. Another large CDC contract that we won during the quarter was a $100 million multiple-award Blanket Purchase Agreement to provide a full range of health communication services. Part of this effort will improve web development, digital communications and social media. Over the course of three decades we have worked with CDC, ICF have recognized for our ability to create actionable communication programs grounded in research and science. We have worked with them to communicate meaningful information about health risk and benefits to promote health and prevent disease. This program furthers that effort. Other CDC wins include one to support [indiscernible] health to the provided survey research services, one to support of HIV aids prevention, one to support of the national diabetes education program and three with the National Institute of Health involving IT services, environment on health science and support and education related communication and social programs support. Since 1987, we have partnered with HUD to support the agencies annual improper payment, for quality control, for rental subsidy determination study. This $31.2 million contract awarded to represents our seventh consecutive contract in support of this study. We have worked with the agency to provide an evidence based foundation for the development of policies to reduce waste, fraud and abuse in HUD programs. Also during Q3, we awarded a $30 million contract with U.S. National Aeronautics and Space Administration to provide technical, analytical and program support to the U.S. Global Change Research Program. The body which coordinates global change activities for the federal government. This contract reinforces our position as one of the world's leading climate change consultancies and we will assist the national coordination in the areas of science, informing decisions, assessment and communications as well as education. Overall, both the dollar value and strategic value of this quarter's contracts awards were excellent, and positions us well for improved results in the remainder of this year and into 2016. Our platform remains strong at $3.1 billion after winning almost $500 million in awards this quarter, and includes 18 opportunities greater than $25 million and 59 opportunities between $10 million and $25 million. Finally, our total run rate in the third quarter was 4.9% which translates into an annualized rate of 16.3%. Now, James Morgan our CFO will continue with the financial review. James?
James Morgan: Thanks, John. Good afternoon everyone. As anticipated, our 2015 third quarter results represented significant sequential improvement and profitability, driven mostly by higher labor utilization. The improved profitability and utilization rates are expected to continue in the fourth quarter and drive results that are similar on a sequential basis as the start of new contracts and a great contribution of commercial revenues, offset the traditional seasonal softness associated with our federal government business. As a result, we continue to expect a strong finish to 2015 and to be well positioned for improved profitability levels in 2016 with EBITDA margins of 10% to 10.5% for next year. With regards to the third quarter financial results, total revenue was $289 million with 9.1% above last year's third quarter. On a constant currency basis, total revenue would have increase in estimated 11%. Service revenue increased 12.6% to $216.4 million. Our year-over-year increase from gross margin was due mainly to the higher mix of our more profitable commercial business. Third quarter 2015 gross margin was 38.4% an increase over the 37.3% reported in the third quarter of last year, and in absolute dollar terms, third quarter gross margin was $111.1 million, an increase of 12.5% as compared to the similar period last year. In direct and selling expenses for the third quarter were $81 million, a year-over-year increase of 8.4% primarily related to the Olson acquisition. Operating income was $21.5 million for this year's third quarter, up 16% year-over-year. Reported EBITDA was $30.1 million for the quarter, 25.2% higher than the $24 million reported last year's third quarter. EBITDA margin was 10.4% for the third quarter of 2015 as compared to 9.1% in the third quarter of last year. Adjusted EBITDA for the third quarter which excludes special charges related to international office closures and severance for staff realignment was $31.1 million or 10.8% of revenues. This performance represents a 23.9% increase and adjusted EBITDA from $25.1 million or 9.5% of revenues reported in last year's third quarter. Depreciation and amortization expenses was $4.3 million, up from $3.2 million in 2014's third quarter. The amortization intangibles was also $4.3 million in the third quarter of 2015, up from $2.3 million in 2014's third quarter. Both year-over-year increases were primarily due to the acquisition of Olson. The effective tax rate was 38.5% for the quarter as compared to 33.6% reported in the third quarter of 2014. The lower tax rate from third quarter 2014 was primarily driven by federal return to provision true of adjustments for foreign tax credits associated with prior years. The variance of the year-over-year tax rate negatively impacted EPS with this quarter by $0.05 as compared to a year ago. For the full year 2015, we continue to expect the tax rate of 38.5% or below. Non-GAAP diluted EPS which excludes amortization intangibles and the special charges was $0.75 for the third quarter of 2015 as compared to $0.70 in the prior year. Reported net income was $11.5 million or $0.59 per diluted share for the third quarter of 2015, inclusive of $0.02 in special charges related to severance for staff realignment and international office closures. On a year-to-date basis, cash provided by operating activities was $42.9 million compared to cash provided in the same period of last year of $19.5 million. We expect our full year cash flow from operating activities to exceed $90 million. Day sales outstanding for the quarter with 74 days as compared to 77 days for the third quarter of 2014. We continue to anticipate our DSOs to remain in the 72 days to 77 days range, including the impact of differed revenues. Capital expenditures for the nine months ended September 30, 2015 were $12.2 million. We repurchased a 192,455 shares in the third quarter of 2015 under our share repurchase plan. As stated previously, we intent at a minimum to make share repurchases in 2015 at a level to offset the dilution caused by our employee incentive programs, and to maintain fully diluted weighted average shares of not more than $20 million for the year. We currently expect our year-end fully diluted weighted average shares to be approximately $19.7 million. Full year 2015 depreciation and amortization expense is expected to be in the $16 million to $17 million range. Consistent with our prior guidance and based on our current business portfolio, we are forecasting amortization of intangibles of $17.2 million. We anticipate full year interest expense to be approximately $10 million and capital expenditures to be in the $17 million to $19 million range. As I mentioned earlier, we expect the full year tax rate to be no more than 38.5%. With that, I'd like to turn the call back to Sudhakar.
Sudhakar Kesavan: Thank you, James. One of our objectives has been to position ourselves to take advantage of positive business conditions in our major market and conversely build resilience to negative trend. While we successfully diversified our revenue sources to counter the decline in federal government spending, we remained committed to the huge market and trends for 2016 look more positive than they have in the last four years. As a result, we are cautiously optimistic that we will see growth in federal government revenues in 2016 at the same time as our pipeline points to improve performance of our commercial business. We expect this year's fourth quarter revenue performance to be similar on a sequential basis, balancing the absence of a seasonal pickup in the third quarter. Profitability levels and EBITDA should also be comparable, thanks for the continuation of high utilization rates and greater contribution of the commercial business. The full year 2015 we expect revenues to be approximately $1.4 billion, non-GAAP EPS between $2.65 and $2.70 and adjusted EPS in the range of $2.10 to $2.15. Cash flow from operations expect to exceed $90 million. Operator, at this time, we'd like to open the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And we have our first question from Bill Loomis with Stifel.
William Loomis: Hi, thank you. Good evening. Just looking at the state and local business you probably didn’t expect the first question on that one, but I assume with the last call you said you thought state and local would be about flat year-over-year looking at the whole year, and based on what you had in the third quarter we'd have to see a pretty big sequential growth like $8 million or something from third to fourth to do that in state and local. What's – so what's kind of the outlook now for state and local and why did it drop off as much as it did?
James Morgan: Yeah Bill, this is James. I think we probably have to take a look at your numbers but if you look at sequentially we're really looking at revenues going up somewhere in the neighborhood of a $1.5 million, $2 million from Q3 to Q4 which is comparable to what we had last year. So, we're expecting basically we're flat year-to-date through Q3 and then we expect over Q4 to be essentially flat also. So, flat for the entire year, so I think probably we need to check what we have for Q4 state local last year.
William Loomis: Okay. So when you said and you've expect that to be flat you were talking about just second half of this year versus second half of last year – last quarter when you said that comment?
James Morgan: We're saying for the full year.
William Loomis: Okay. And then with international – well first of all just on the guidance generally, I mean look, you did lower guidance a little bit and state and local, international or below estimate. What did materialize in the quarter that prompted you to do lower the guidance slightly from last quarter, what were you looking for to get to kind of the midpoint of private audience?
Sudhakar Kesavan: Yeah, I think that Bill we expected certain positive revenues which didn’t materialize in the international business. So that basically was…
James Morgan: The largest driver.
Sudhakar Kesavan: The largest driver for our revenues in that and I think that basically made us a little caution about the international government business.
William Loomis: Okay. Okay, great. Thank you.
Operator: Thank you. Our next question comes from Tim McHugh with William Blair & Company.
Timothy McHugh: Hi, thanks. Just – there are some charges for office closures and severance I guess can you tell us what offices were you closing and where were you I guess taking severance charges in the business?
James Morgan: Yeah, this is James, I'll cover the office closures. And I think as we've talked about in the past we continue to look to ensure that where we are working oversees internationally that we're working out of offices where we have appropriate level of scale. And so we did end up closing a small office in Spain which we took some charges for in Q3 of this past quarter.
Timothy McHugh: Okay.
James Morgan: So that’s for office closure department of the company. Yeah, and really the staff – the realignment of staff that’s also associated with our international business and making sure that we're appropriately aligning the staff for the size of business that we have there.
Timothy McHugh: Okay. And let me just – on the commercial business you talked about a pickup – I think you referred as very significant pickup in I guess the commercial revenue but it seems like it was flat sequentially versus the second quarter. And so what am I – were there, are you talking about pieces of it and were there other pieces that felt fluff or I guess what's the mix there?
Sudhakar Kesavan: I think if you look at the domestic commercial business it grew about 3% organically from Q3 last year to Q3 this year. So I don’t think I mentioned significant pickup in commercial, I just said that the commercial business overall grew obviously because of the Olson acquisition. And if you're asking about organic revenue growth of domestic commercial it's about 3% Q3 2014 to Q3 2015. I'm talking about domestic commercial only because I don’t want to effect issues.
Timothy McHugh: Okay. All right, that’s fair. Okay, I guess – and then the international business that you talked about some revenue being pushed in the past. I think if I recall in the past some of the work you've done has been tried immigration and others a lot of [ph] scrutening of that in your point now, is that accounts for [indiscernible] permanent push out or it seems at least medium term push out or is it you saw work moved just from Q3 to Q4 and I guess you think it can come back.
James Morgan: Yeah Tim, this is James. I mean actually we just spoken to the locals there. And what they're anticipating, there is no – it's a temporary timing issue, it's not a permanent. The work is still there, the work has to be done, it's a matter of timing when they do it they are now doing more of it in Q4. So it's being pushed from Q3 to Q4 and then some of it actually maybe pushed a little bit into Q1, so we're anticipating.
Timothy McHugh: Okay. And then…
Sudhakar Kesavan: The international – Tim just, the international revenue business actually from a constant currency basis has been quite strong. I mean if you just look at the numbers, even that there is push out etcetera, if you look at the numbers, the numbers are pretty strong. It's just that unfortunately we have an FX issue which doesn’t help us in terms of the U.S. dollar numbers, but I think just in terms of the fundamentals of the business despite the push out I think it's been quite strong, grew by I think 11% on a constant currency basis. I just thought I'd mention it just so that you have [indiscernible] with the fundamental of the business are pretty good I think.
John Wasson: This is John Wasson, the thing I'd add is, in terms of contracts that have been kind of pushed out, couple of those were contracts with significant media campaigns which would have a high level of pass-through's. And so it's also because of the handful of contracts that have been put were particularly planned to be intense in terms of the broad media campaigns, media buys those types of things.
James Morgan: And their activities.
John Wasson: That’s certainly have the impact.
Timothy McHugh: Okay.
Sudhakar Kesavan: And I think that there is both going on, on integration issues which our office is doing currently. So in fact that continues, it's just that some of these things around the contracts which were more media related, media buys were the ones which are pushed out.
Timothy McHugh: Okay, fair enough. All right, thank you.
Operator: Thank you. Our next question comes from Tobey Sommer with SunTrust Robinson.
Tobey Sommer: Thanks. Looking at the relatively small changing in guidance, how would you kind of rank order the two of your factors, I think the currency moved a little bit probably against you since the last time we spoke – I don’t know where that would fit in to the top two or three reasons for the slight change in guidance.
James Morgan: So, when you would say change in guidance I assume you are speaking to revenue and EPS both, I mean certainly from a revenue perspective we've just mentioned some of the items basically revenue being pushed out and pushed into the next year and it's just the slowness of various media buys and things with that nature. Obviously with that revenue being pushed out there is profitability that goes along with it and really that is what is – it's the reduction is in line with the reduction revenues.
Tobey Sommer: Okay, I guess with the disconnect I don’t understand, if it's media buys and pass-through that would suggest margin?
James Morgan: Yeah, and actually that in oversees there are actually are some fairly healthy profits associated with that activity.
Tobey Sommer: Okay. Should we be on the lookout I guess going forward just over for slightly more variability based on media buys being a component of the P&L that were not used to historically I guess?
Sudhakar Kesavan: I think that generally that would be the case. I think that if you look quarter-to-quarter the variability is more than what we had normally seen. I think that’s the fair statement, but I think the – yeah, I think that certainly adds to the volatility.
Tobey Sommer: A question, I didn’t catch it if you gave it I apologize. What was the organic growth in the commercial business?
Sudhakar Kesavan: I think I said – just so that I wanted to be with that effect, the domestic commercial organic growth is of 3%. The digital interactive business grew nicely, the energy markets business grew. So I think that I'll just give you the overall domestic commercial business because then I don’t have to deal with the FX issues.
Tobey Sommer: Okay. And does that represented improvement on that same basis or is that sort of a stable growth rate on that basis, because I don’t have the historical number in front of me?
Sudhakar Kesavan: Well, we certainly hope that it'll accelerate going forward given what we've seen in the pipeline, but I think it is certainly an improvement from the prior periods.
Tobey Sommer: Of the contract announcements that you've press released in recent weeks, is it fair to assume that most of those are captured in the book-to-bill and contract awards in the quarter or are some of those – do they belong to the fourth quarter in fact?
James Morgan: The ones that we're announced were captured in the quarter but I think the one thing that in Q3, the one thing that to keep in mind is that when we announce our total awards number it does not include the value of the large vehicles – the value of those won the task underneath those vehicles are awarded.
Sudhakar Kesavan: Yeah, so there is no number in the book-to-bill…
John Wasson: That came in Q4.
Sudhakar Kesavan: That came in Q4 or which – or we have announced something which – yeah, so you should be – that consistent are the numbers.
Tobey Sommer: Okay. And then I'll get back in the queue. If you could just make a comment about what you think a potential budget deal in which you've seen so far would might impact your business and any kind of broad comments you could make would be helpful? Thank you.
Sudhakar Kesavan: So I think I commented the last time about the return to – at least what we thought with a more normal course in terms of winning awards and then revenue flowing from the backlog. If you recall over the last three or four quarters, we have been – we have won a lot of work, the backlog has increased but somehow the revenue hasn’t flown through. And we have seen as I indicated last quarter too, we have seen a return to normality which as you can see is evidenced by the fact that there was some slight revenue growth overall and certainly significant revenue growth in the mid-single digits in our federal business sequentially. And I think that’s a good sign because that really does a manifest the fact that when the backlog increases at a book-to-bill which is to say 1.10 then you will see hopefully over the medium term 10% growth because that’s what normally would be the case. So I think that that behavior have been not been quite consistent over the last two or three years and we have seen that return over the last quarter or two and now with the budget deal we hope that comes right back to normal as it used to be say three or four years ago.
Tobey Sommer: Thank you.
Operator: And thank you. [Operator Instructions] And we have our next question from Edward Caso with Wells Fargo.
Edward Caso: Hi, good evening. I was wondering if you could talk a little bit about the competitors that ICF Olson faces, are you going after the large ad agencies say the large integrators like Accenture or are you just budding up against the local firms?
Sudhakar Kesavan: I think that a good example Ed, what we have seen is that, like for example, if you look at the lottery contract we went up against a major integrator and we went up against a firm very well known for its loyalty product, both quite well known and both having significant footprints. In certain other cases for example, in certain regional competitions we tend to go up against local firm. We tend to go after like for example in the Canadian Utilities contracts we won, there was an integrator who was really the program manager and they had bid out the work. So they sat in on the competition, so all the work was outsourced to them and then they basically didn’t have the skills to do the specific customer engagement stuff which we were hired to do. So we were one of two or three competitors and most of the competitors there where there was one U.S. and there were I think a few more Canadian ones. So I think that it varies all over the place. I think in terms of the size of the job we tend to go after, I think it is smaller than the ones which the bigger size will go after. So I think that there is perhaps less interest on the part of those FIs to go after the size of the job which we traditionally go after, because it's not worthwhile for them to pick up their pen I think to bid on the job. So I think that we are trying to cater to the middle market and obviously we will try and raise to the occasion if we know the client really well and we think that we can do the work, and once in a while we might go up against the big guys. But I think we are trying to avoid doing that, we're trying to make sure we go up against the size of job which is sort of like the lottery or like the Canadian utility one which have both in the $10 million plus range.
Edward Caso: And the federal space, is the Olson brand or the ICF brand help you in the process or is it still just a fill out the RFP, I mean is there some brand value in that market?
Sudhakar Kesavan: No, I think that in the federal space I think what helps the qualifications which Olson has in terms of commercial best practices because they obviously do it for well-known companies. And so our creditability improves I think in the federal space, I don’t think the federal government client is aware of the Olson brand but I think it's certainly aware of the companies they have worked with and therefore the kinds of work they have done. And as you know, there has been some effort within the federal government to change the way [indiscernible] certain things and also to push for commercial best practices and to reach out and see what's happening in the commercial arena, especially in the whole digital services business. So I think that we have been using the fact that they have qualifications in certain areas which are quite sophisticated and significant. This is what they do for certain clients and we can do perhaps similar things for you if you would like, that’s sort of the effort. So, I don’t think that there is any significant brand value of Olson that these enormous value of the kinds of work they do and in that specific kind of work which we would like to do more for the federal government. And I think that it also improves – and they have done stuff which is transactional, they've done stuff which is sophisticated in terms of branding and creative work, and I think they can certainly improve our delivery in the federal arena but we certainly don’t think there is a huge brand value for Olson within the federal government.
Edward Caso: Last question, can you provide us with a constant current organic growth number? Just trying to figure how that 9% translates.
John Wasson: For the international business?
Edward Caso: No, the whole company.
James Morgan: For the whole company I mean it's basically flat, essentially flat.
Sudhakar Kesavan: Flat, but I think it's down…
James Morgan: Slight – slightly down, but close to flat.
Edward Caso: Okay. And when does that grow over ends starting the first quarter of next year?
James Morgan: Yes.
Edward Caso: Okay, great. Thank you.
Operator: And thank you. We have no further questions at this time. I will now turn the call over to management for closing remarks.
Sudhakar Kesavan: Thank you very much for participating in today's call. We look forward to speaking with you at upcoming conferences and our next call review 2015 yearend results. Thanks very much.